Operator: Ladies and gentlemen, thank you for standing by and welcome to Q2 2015 China Pharma Holdings, Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. There will be a discussion followed by a question-and-answer session. [Operator Instructions]. I must advise you that this conference is being recorded today Friday, 14th of August, 2015. I would now like to hand the call over to Diana Huang. Thank you. Please go ahead.
Diana Huang: Thank you, Baneri [ph]. Good morning ladies and gentlemen and good evening to those of you joining us from China. Welcome to China Pharma Holdings’ second quarter 2015 earnings conference call. I am Diana Huang, the company’s Investor Relations Manager. Speaking on the call today are China Pharma’s President and CEO and Interim CFO Ms. Zhilin Li; and Corporate Vice President, Mr. Sam Hsing. In addition, I will provide translation during the Q&A session of the call. I would like to remind our listeners that on this call management's prepared remarks contain forward-looking statements, which are subject to risks and uncertainties and management may make additional forward-looking statements in response to your questions. Therefore, the company claims the protection of the Safe Harbor for forward-looking statements that is contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from those discussed today due to such risks as market and customer acceptance and demand for our products, our ability to market our product, the impact of competitive products and pricing, the ability to develop and launch new products on a timely basis, the regulatory environment including government regulation in the PRC, our ability to obtain the requisite regulatory approvals to commercialize our products, fluctuations in operating results including spending for R&D and sales and marketing activities, and other risks detailed from time-to-time in our filings with the SEC. In addition, any projections as to the company's future performance represent management's estimates as of today, August 14, 2015. China Pharma assumes no obligation to update those projections in the future as market conditions change. Now, it is my pleasure to turn the call over to China Pharma's CEO and Interim CFO, Ms. Li to make her opening remarks in Chinese, which will be then translated by Sam. Afterwards, Sam will continue translating Ms. Li’s detailed discussion of the company's second quarter 2015 financial results.
Zhilin Li: [Foreign Language]
Sam Hsing: Thank you, Diana and good morning, everyone. I would like to thank each of you for joining us today, and for your continued support of the China Pharma. Our costs of the expenses have experienced certain increase in this quarter. Due to the new GMP standards for quality control improvements which lead to an increase in our production costs and the increased sales and marketing efforts to recover market share. Although the financial performance in this quarter did not immediately reflects the mature change of our production ability. For continued efforts, we are very confident of receiving expanding our markets. And 9.6 R&D, approximately US$1.6 million, current subsidiaries we received in July 2015 also reflects your reorganization from comments on the fundamentals of our business. We also planned to upgrade granule and cephalosporin production lines in our all the facilities by the end of this year. I will now read the rest of the Ms. LI’s prepared remarks in English. Revenue for the three months ended June 30, 2015 was $5.7 million, a decrease of 7% from $6.1 million for the three months ended June 30, 2014. This was mainly because we were in the middle of the GMP upgrading process starting from 2014 and as a result, we missed some of the drug tenders in several provinces, which affects the sales of the subsequent quarters. For the three months ended June 30, 2015, our cost of revenue was $4.5 million, or 80% of the total revenue, which represented an increase of the $0.8 million from $3.7 million, or 61% of total revenue, in the second quarter of 2014. The increase in cost of revenue in the second quarter of 2015 was mainly caused by the introduction of the new GMP standards for quality control improvement, which leads to an increase in our production costs, such as energy consumption and depreciation. There was $1.2 million of inventory obsolescence recorded for the three months ended June 30, 2015, and no inventory obsolescence for the three months ended June 30, 2014. We started recording inventory obsolescence allowance on a quarterly basis from the first quarter of 2015, as we believe it may result in material modification in our financial statements; while previously, we tested and recorded inventory obsolescence allowance on an annual basis. Gross loss for the three months ended June 30, 2015 was $0.06 million, compared to gross profit of$2.4 million in the same quarter of 2014. Our gross loss margin in the second quarter of 2015 was 1% compared to gross profit margin of 39% in the same period 2014. Without considering the effect of inventory obsolescence in the three months ended June 30, 2015, management estimated that our gross profit margin would have been approximately 20% in this period. The decrease in gross profit margin was mainly due to the increase in production costs incurred to comply with the new GMP requirements, increased lower margin products sold in this period. As well as the inventory obsolescence incurred in the second quarter of the 2015. Our selling expenses for the three months ended June 30, 2015 was $1 million compared to $0.6 million in the same period last year. Selling expenses accounted for 18% of the total revenue in the second quarter of 2015 compared to 10% in the same period 2014. Due to many adjustments in our selling processes under healthcare reform policies, despite the decrease in sales, we still rely on fixed personnel and expenses to support our revenue and collection of accounts receivables. In addition, once we received new GMP certificates, we are aiming to recover our market which requires additional investments in sales expenses and marketing efforts. Our research and development expenses for the three months ended June 30, 2015 was $0.2 million, compared to $1.9 million in the same period last year. The change in research and development expenses was mainly due to the costs related to testing of the new production lines in the second quarter 2014, while no such expenses incurred in this period because we have received the GMP certificates for those production lines. Our bad debt expenses for the three months ended June 30, 2015 and 2014 were $2.1 million and $8.0 million, respectively. The decreases in bad debt expenses was mainly due to the decrease in aged accounts receivable balance which has not been allowed against previously during the three months ended June 30, 2015, as compared to the same period of 2014. In order to collect cash to support the construction of our new plant and to meet the policy requirements for new GMP upgrading, we have shifted to prudent sales strategies in the recent two years. This strategy strengthened the preference on sales to customers with good credit performance, while reduced the supplement to customers with poor credit. On the one hand, this strategy contributed to the recovery of funds; on the other hand, it negatively impacted our sales and indirectly prolonged the payments from the estranged customers. These two factors resulted in increased proportion of our older-aged accounts receivable balance. Net loss for three months ended June 30, 2015 and 2014 was $4.1 million and $8.6 million, respectively. The decrease in net loss was primarily due to the decrease in bad debt expenses and partially offset by the inventory obsolescence recognized in the second quarter of 2015. For the three months ended June 30, 2015, loss per basic and diluted common share was $0.09, compared to loss per basic and diluted share of $0.20 for the same period 2014. Six months results. Revenue for the six months ended June 30, 2015 was $11.4 million, down 14% from revenue of $13.2 million for the six months ended June 30, 2014. Gross profit for the six months ended June 30, 2015 was $1 million, compared to $5 million in the same period of 2014. Gross profit margin for the six months ended June 30, 2015 and 2014 were 9% and 38%, respectively. Without considering the effect of inventory obsolescence in the first half of 2015, management estimates that our gross profit margin would have been approximately 21%. The decrease in gross profit margin was mainly due to the increase in production costs incurred to comply with the new GMP requirements, more lower margin products sold in this period, as well as the inventory obsolescence incurred in the first half of 2015. Operating loss was $11.5 million for the six months ended June 30, 2015, decreased by $0.6 million from $10.8 million for the same period of 2014. Net loss was $12.1 million, or $0.28 per basic and diluted share for the six months ended June 30, 2015, compared to $11 million, or $0.25 per basic and diluted share, for the same period a year ago. Turning to the balance sheet. As of June 30, 2015, the company had cash and cash equivalents of $4.5 million, compared to $5.3 million as of December 31, 2014. Our accounts receivable balance decreased to $17.2 million as of June 30, 2015 from $24.9 million as of December 31, 2014. Our receivables decreased due to the decrease in sales, our enhanced collection efforts, and increase in the bad debt allowance. Overall, we will continue focusing on our business developments and we have supported the fair evaluation of our shareholder’s interest in the future. With that, we will now open the call up to the question. Operator?
Operator:
Sam Hsing: On behalf of the entire China Pharma team, we would like to thank you for your interest in the company and the participation on this call. For any of you traveling to China, we always welcome and encourage any visitors from our shareholders, potential investors and analysts. This concludes the China Pharma’s second quarter 2015 earnings call. Thanks.
Operator: Thank you. Ladies and gentlemen, that does conclude our conference for today. Thank you for participating. You may all disconnect.